Operator: Greetings and welcome to the GSE Solutions' First Quarter 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, that this conference is being recorded. I will now turn the conference over to our host, Kalle Ahl of The Equity Group. Thank you. Please go ahead.
Kalle Ahl: Thank you, Diego, and good afternoon everyone. Thank you for joining us today. Before we begin, I would like to remind everyone that statements made during the course of this call may be considered forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Act of 1934. These statements reflect current expectations concerning future events and results. Words such as expect, intend, believe, may, will, should, could, anticipate, and similar expressions are words that are used to identify forward-looking statements, but their absence does not mean a statement is not forward-looking. These statements are not guarantees of future performance and are subject to risks and uncertainties and other important factors that could cause actual performance or achievements to be materially different from those projected. For a full discussion of these risks, uncertainties and factors, you are encouraged to read GSE's documents on file with U.S. Securities and Exchange Commission, including those set forth in periodic reports filed under the forward-looking statements and Risk Factors section. GSE does not intend to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. On this call, management may refer to EBITDA, adjusted EBITDA, adjusted net income and adjusted EPS, which are not measures of financial performance under generally accepted accounting principles, or GAAP. Management believes that these non-GAAP figures, in addition to the other GAAP measures provide meaningful supplemental information regarding the Company's operational performance. This information facilitates management's internal comparisons to GSE’s historical operating results as well as those operating results of its competitors. Since management finds these measures useful, GSE believes that investors may benefit by evaluating both non-GAAP and GAAP results. Investors should recognize that these non-GAAP figures might not be comparable to similarly titled measures of other companies. These measures should be considered in addition to and not as a substitute for or superior to, any measure of performance prepared in accordance with GAAP. A reconciliation of non-GAAP measures to their most directly comparable GAAP measures in accordance with Regulation G of SEC can be found in the Company's earnings release. I'd now like to turn the call over to Mr. Kyle Loudermilk, Chief Executive Officer of GSE. Kyle, please go ahead
Kyle Loudermilk: Thank you, Kalle. I'd like to welcome everyone to GSE’s first quarter 2020 financial results conference call. Joining me on today's call is Emmett Pepe, our Chief Financial Officer. Earlier today, we issued a press release covering our first quarter financial results. Hopefully, you've had a chance to review this news release, but if not, the copy can be found on our website at www.gses.com under the news section. Due to the reporting delays we experienced since the onset of the COVID-19 pandemic, our remarks today will be limited substantially to GSE’s first quarter financial results. We will not be discussing specific details related to the second quarter until those results have been finalized, which we anticipated occurring next month, as we get back on track with our regular financial reporting cycle. Our first quarter revenue of 17.7 million and adjusted EBITDA of negative 0.6 million came in below our expectations, primarily due to the timing of revenue recognition for certain projects as well as industry wide delays in RFP bidding processes and new business awards, given the impact of COVID-19. In general, as an essential services provider to a critical industry, our business of serving the nuclear power industry is continuing and our employees are working effectively. We are seeing customer behavior shift to delaying work that can be delayed and limiting the use of staff augmentation as they wish to keep on-site employees to a bare minimum. Thus, we are seeing an impact on our business as a result of a pandemic. The type of services we provide to the industry are essential for operational safety and efficiency. As a result and we've seen this before in times of crisis, this work can only be delayed for a limited period of time. Thus, we expect that purchasing behavior will ramp back up although we can't estimate as to when given the continuing pandemic. I'll speak more to this in a moment. Despite these challenges in the first quarter, we generated strong cash flow from operations totaling $1.6 million, and we paid down approximately $5.2 million of our long term debt. At quarter end, our total debt was $16.8 million and our cash position was $11.4 million. Our total debt consisted of $13.3 million of long term debt, and $3.5 million draw on our line of credit, which was taken as a precaution related to uncertainty due to the COVID pandemic. We intend to pay down our debt aggressively and expect to be able to refinance our remaining debt by year-end. On another bright note, our new orders during the first quarter increased approximately 36% year-over-year to $19.6 million, exceeding our internal plan notwithstanding challenges created by the COVID-19 pandemic. In our performance solution segment, orders totaled $5.3 million, up from $4.6 million in the prior year quarter. We won a steady flow of fundamental meat and potato business as we continue to provide essential services to the critical industry in a period of time thus is between large full scopes and the other projects. This is good news and a validation of our essential services that we provide the industry. In the first quarter, we entered into a strategic collaboration with ABB Bailey Japan to provide thermal simulation services and technology to the Japanese power market. Together, we will develop high-fidelity operation training simulators combined with ABB Bailey's industry-leading distributed control systems for the Japanese fossil market. We are very excited about the long-term potential of this partnership. In our Nuclear Industry Training & Consulting segment orders totaled $14.3 million, up from $8.5 million in the prior year quarter. The bulk of the orders won were a comment or a continuation of the services provided to our primary nuclear utility customers. As discussed during our last conference call, prior to the COVID-19 crisis, we were in discussion surrounding some potentially very significant new contracts for 2020, and we'll update investors as these opportunities evolve. The long term demand outlook for industry staffing and training services remains very strong given the unique needs of the nuclear power industry. Our total backlog at the end of Q1 stood at $54 million, consisting of $32.2 million of performance improvement backlog and $21.8 million of NITC backlog. Q1 total backlog exceeded our year-end 2019 backlog of $52.7 million. This was a very solid start to the new year, especially given the emergence of the pandemic. This provides us with a solid efficient of business to weather the storm so to speak. As mentioned, we believe that pent up demand for our services ultimately will be released and translate into a higher backlog figure for GSE, as nuclear facilities must continue to deliver reliable, always-on, carbon-free power to the grid. Our services are considered essential, given our critical role in supporting the safe and efficient operation of our clients' nuclear facilities. Nuclear plants require fuel replacement and services during outages, for example, plus periodic safety reviews regardless of the external environment. Some work can be pushed out for period of time, but they can't be entirely eliminated. Nuclear project work routinely has rebounded through industry shocks, including major events such as Fukushima and the 2008 financial crisis, we expect that same cycle to be the case post-COVID. Well, it's difficult to estimate the precise impact of a COVID-19 outbreak in our business for the remainder of 2020. We expect another challenging period during the second quarter, as clients have taken a conservative near-term approach to commence new projects. In closing, GSE's emphasis today is on protecting the health and safety our employees and clients during the COVID-19 pandemic while working diligently to grow organically, streamline our operations, contain costs, maximize cash flow, and pay down debt, we're doing that. We provide complex solutions and services to the blue-chip nuclear power customers, which produce most of the world's base load carbon-free energy. Nuclear plants must be operated, maintained in service regardless of global disruptions including COVID-19. The longer term fundamentals for our end markets remain solid, as the nuclear power industry continues to invest for safety operational reliability, extensions of the plant life, and performance improvements generate more power from existing assets. Given the difficult to replace assets, specialized employees and innovative technologies that we have amassed under a single go-to-service provider platform, we remain optimistic about GSE’s future. I'll now turn the call over to Emmett Pepe, our CFO, who will review the first quarter financial results. Emmett, please go ahead.
Emmett Pepe: Thank you, Kyle. Total Revenue in Q1 2020 was $17.7 million compared to $22.2 million in Q1 2019, reflecting a $2.5 million decrease in our performance improvement segment revenue and a $2 million decrease in our NITC segment revenue. The decrease in performance improvement revenue was driven primarily by the successful conclusion of major simulator projects in the first quarter of 2019. The decline in NITC revenue was primarily due to lower staff augmentation needs from customers during the quarter. As Kyle touched on previously, we're excited about new business development activities in this segment. Gross profit in Q1 2020 totaled $4.1 million compared to $4.7 million in Q1 2019. Performance improvement gross profit declined by approximately $700,000 from $3 million, NITC gross profit increased by approximately $50,000 year-over-year to $1.1 million. So despite the decline in revenue in NITC, segment was able to overcome that shortfall primarily due to high margin fixed price training course projects. SG&A expenses totaled $4.9 million in Q1 2020 versus the comparable figure of $4.4 million in Q1 2019. The increase in SG&A expenses were driven by incremental audit, tax and consulting fees related to our SEC filing requirements. Operating loss equaled approximately $6.1 million in both Q1 2020 and Q1 2019. Non-GAAP adjusted EBITDA as defined in our earnings release totaled approximately negative $600,000 in Q1 2020 compared to positive $200,000 in Q1 2019. As a result of the COVID-19 pandemic, we concluded that a triggering event had occurred, which required an interim assessment for impairment of our intangible assets. As a result of this analysis, we recorded an impairment charge of $4.3 million related to DP Engineering's intangible assets in Q1 2020. We concluded Q1 2020 with a cash position of $11.4 million and total debt of $16.8 million, which decreased by $1.7 million compared to the end of Q4 2019, reflecting debt payments we made during the quarter. In April, we received $10 million from the Federal Payroll Protection Program, which further bolstered our cash position. I'll now turn the conversation back to Kyle.
Kyle Loudermilk: Thank you, Emmett. Operator, please open the floor for questions.
Operator:
Kyle Loudermilk: So thank you, everybody for joining us. We really appreciate your time and interest in GSE. While we won't be on the road for industry conferences in the near term given COVID-19, we remain accessible for one-on-one calls. So please feel free to reach out directly to us. You can reach out to our IR firm, The Equity Group, Kalle Ahl, if you're interested for scheduling a follow-up call and I hope you will, and I very much look forward to speaking with you. Thanks again, everybody.
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a good day.